Operator: Welcome to the World Fuel Services Corporation Fourth Quarter and Full Year 2021 Earnings Conference Call. My name is Sylvia and I'll be operator for today's call. At this time all participants in a listen-only mode. Later we’ll conduct a question-and-answer session  I will now turn the call over to Glenn Klevitz, World Fuel's Vice President Treasurer and Investor Relations. Mr. Klevitz you may begin. 
Glenn Klevitz: Thank you, Sylvia. Good evening, everyone and welcome to the World Fuel Services fourth quarter and full year 2021 earnings conference call. This is Glenn Klevitz and I'll be doing the introductions on this evening's call, alongside our live slide presentation. This call is also available via webcast. To access this webcast or future webcasts, please visit the World Fuel Services Corporation website and click on the webcast icon. With us on the call today are Michael Kasbar, Chairman and Chief Executive Officer; and Ira Birns, Executive Vice President and Chief Financial Officer. By now you should have all received a copy of our earnings release, if not you can access the release on our website. Before we get started, I would like to review World Fuel's Safe Harbor statement. Certain statements made today, including comments about World Fuel's expectations regarding future plans and performance are forward-looking statements that are subject to a range of uncertainties and risks that could cause World Fuel's actual results to materially differ from the forward-looking information. A description of the risk factors that could cause results to materially differ from these projections can be found in World Fuel's most recent Form 10-K and other reports filed with the Securities and Exchange Commission. World Fuel assumes no obligation to revise or publicly release the results of any revisions to these forward-looking statements in light of new information or future events. This presentation also includes non-GAAP financial measures as defined in Regulation G. A reconciliation of these non-GAAP financial measures to their most directly comparable GAAP financial measures is included in World Fuel's press release and can be found on its website. We will begin with several minutes of prepared remarks, which will then be followed by a question-and-answer period. As with prior conference calls, we ask that members of the media and individual private investors on the line participate in listen-only mode. At this time, I would like to introduce our Chairman and Chief Executive Officer, Michael Kasbar.
Michael Kasbar: Thank you, Glenn and good evening, everyone. I hope all of you are doing well and adjusting to a somewhat more normal environment. On behalf of our leadership team, I would like to again thank our employees throughout the world for their continued dedication in maintaining and building our global energy solutions business. Your collaborative efforts remain seamless as we successfully managed our commercial business during COVID for a second straight year and a special call out to our physical operations team members that managed our logistics through the last two years. Thank you for your dedication and teamwork. It's truly a pleasure to work with you all. Our aviation business finished the year strong in what has become a more broadly improving operating environment. While the US market has experienced the strongest recovery to date, we are beginning to also see many markets improving in other regions, positioning us well as we continue through 2022. The marine industry also finished the year well with improving opportunities in various key markets combined with rising prices and interest rates, which have historically benefited the Marine business we are seeing some renewed momentum heading into 2022. And lastly, our land business has a tremendous amount of excitement in the air between the recently completed Flyers acquisition, which has immediately added scale and geographic density to our North American operations and our growing Connect sustainability platform, where we are finding more ways to help our customers navigate the energy transition. We are partnering with our customers to develop carbon reduction plans advising them on, how to reduce energy use source renewable energy and finally compensate for residual carbon emissions using carbon offsets. We have a breadth of and a depth in the sustainable services and products such as on-site solar power agreements, energy efficiency and many more that we custom tailor for a diverse set of clients to achieve near-term targets while preparing for the energy transition of tomorrow. Our solid financial position will continue to serve us well over the course of 2022, with an abundant pipeline of organic and inorganic growth opportunities across our core lines of business. I'm encouraged about our market position and our ability to deliver comprehensive energy solutions in the years ahead. Now I'll turn the call over to Ira for a review of our financial results.
Ira Birns: Thank you, Mike and good evening, everyone. Before I walk through our fourth quarter and full year 2021 results, please note that the following figures that I'm about to share, exclude the impact of nonoperational items highlighted in our earnings release. Effectively all of the nonoperational items in the fourth quarter related to our recent acquisition of Flyers Energy. Also all comparisons to 2020, exclude the operating results of MultiService that was sold at the end of the third quarter of 2020. To insist you in reconciling results published in our earnings release the breakdown of the nonoperational items can be found on our website and on the last slide of today's webcast presentation. So now let's continue with the financial highlights for the quarter and the year. Consolidated revenue for 2021 rebounded to $31.3 billion up 54% year-over-year. Adjusted fourth quarter net income and earnings per share were 17.6 and $0.28 per share respectively up from $1 million and $0.02 per share in the fourth quarter of 2020. Adjusted full year net income and earnings per share were $86 million and at $1.36 per share respectively both increasing nearly 20% from prior year results. Adjusted EBITDA for the fourth quarter was $56 million an increase of $12 million or 26% compared to the fourth quarter of 2020. And for the full year EBITDA was $241 million effectively flat when compared to the prior year Volume continued to improve across all of our business segments, as markets continue to recover. With fourth quarter consolidated volume of 4.3 billion gallon or gallon equivalents, up 23% year-over-year and full year volume of 16 billion gallon or gallon equivalents up 11% compared to the full year 2020. And now I'll get into our results in greater details starting with segment volumes. Our aviation segment volume was 1.7 billion gallons in the fourth quarter. That's an increase of 2% sequentially and 47% compared to the fourth quarter of 2020. The year-over-year volume increase resulted principally from the ongoing recovery, in commercial passenger activity. Full year aviation volume was 5.9 billion gallons that's an increase of 25% year-over-year. Volume in our marine segment for the fourth quarter was 4.9 million metric tons. That's an increase of 2% sequentially and 15% year-over-year. We experienced increases in our core resale activity and physical operations during the fourth quarter and expect volume to continue to grow moderately over the course of 2022. For the full year marine volume was 18.5 million metric tons that's a 6% year-over-year increase. Our land segment volume was 1.4 billion gallons or gallon equivalents during the fourth quarter. That's an increase of 6% sequentially and 8% year-over-year. The year-over-year volume increases stand across much of North American retail wholesale commercial industrial operations and our Connect Natural Gas and Power activities. For the full year land volume was 5.3 billion gallons or gallon equivalents an increase of 4% year-over-year. Moving on to gross profit. Consolidated gross profit for the fourth quarter was $215 million an increase of 9% sequentially and 30% year-over-year. And full year gross profit was $789 million up slightly from the prior year when excluding the results of MultiService and despite the decline in activity in Afghanistan which terminated during the third quarter of 2021. Our aviation segment contributed $110 million of gross profit in the fourth quarter. That's a 3% decline sequentially, but an increase of 56% year-over-year. The year-over-year increase in aviation gross profit related to the continuing recovery in commercial passenger volume which reached 76% of pre-pandemic levels in the fourth quarter, driven largely by the strong rebound in activity in North America and an accelerated recovery in Western Europe both specifically in countries such as France Germany and Italy. We also benefited from approximately $10 million of inventory-related gains related to price volatility during the fourth quarter. And finally, our business aviation activity and our related service business has also experienced strong year-over-year growth. For the full year aviation gross profit was $388 million. That's a 12% increase compared to 2020 again despite the year-over-year decline in activity in Afghanistan.  As we look ahead to this year's first quarter for aviation, while we expect to experience a meaningful seasonal sequential decline in aviation gross profit year-over-year aviation GP should still increase relative to the first quarter of 2021. The marine segment generated fourth quarter gross profit of $30 million. That's a 38% sequential increase and a 33% increase year-over-year driven principally by improvement in core resale and physical supply activity. For the full year marine gross profit was $100 million. That's a 33% year-over-year decline. While volume was stable we experienced margin declines when compared to the prior year where we benefited from the volatility surrounding the IMO transition during the first half of 2020. As you look ahead to the first quarter for marine, we expect gross profit to increase sequentially and year-over-year driven by renewed signs of improving market conditions in our core resale and physical operations with a strong opportunity for further improvement as we navigate through 2022. Our land segment delivered gross profit of $75 million in the fourth quarter an increase of 20% sequentially and 4% year-over-year. In addition to sequential seasonality related to heating oil in the U.K. and natural gas in the U.S. we also experienced growth in our Connect sustainability platform. Year-over-year we experienced growth in our commercial and industrial retail and natural gas activities partially offset by the decline from Afghanistan. For the full year while also impacted by the termination of activity in Afghanistan land delivered $301 million of gross profit that's a 3% year-over-year increase. As we look ahead to the first quarter for land, gross profit will increase significantly principally related to the inclusion of Flyers Energy, which we closed at the beginning of the year as well as expected growth in our heating oil business in the UK. While the first quarter is a seasonally soft quarter for Flyers we still expect their full year contribution for 2022 to meet or exceed initial guidance. Core operating expenses were $176 million in the fourth quarter. This is significantly above the range provided on last quarter's call. The reason for this is clear. Our people are our greatest assets and they have provided unwavering support over the past two unprecedented years yet the pandemic impact on our operating results have made it difficult to reward them in the way we would have liked to. However, when we significantly outperformed our expectations in the fourth quarter, we took the opportunity to increase incentive compensation enabling us to better reward our high-performing and well-deserving team for the year, while still delivering a solid net result for the quarter. I would call this a big win for everyone. Looking ahead to the first quarter apples-to-apples, our operating expenses will decline principally due to the impact of the additional incentive compensation expense in the fourth quarter, but we then pick up the operating expenses related to Flyers Energy for the first time. Considering both of these factors we expect core operating expenses to be in the range of $180 million to $185 million in the first quarter. Bad debt expense in the fourth quarter was $3.4 million and $6.3 million for the full year representing a very significant improvement from 2020 and even a significant improvement from years prior as our team continues to manage our receivables portfolio and related credit risk with excellence. Adjusted EBITDA for the fourth quarter was $56 million. That's a 26% over the fourth quarter of last year. And for the full year adjusted EBITDA again was $241 million flat with the prior year resulting from a significant rebound in aviation offset by reduced profitability in marine and the conclusion of operations in Afghanistan during the third quarter. Fourth quarter interest expense was $11 million and that was effectively flat year-over-year. As we look ahead to 2022, interest expense will increase principally due to higher borrowings related to the recent Flyers acquisition and rising interest rates. With that being said first quarter interest expense is expected to increase to the range of $12.5 million to $13.5 million. Our adjusted effective tax rate for the fourth quarter was 24.6%. That's below the guidance provided last quarter. For the full year, our adjusted effective tax rate was 26% down materially from 38.3% in 2020. This relates to our continued efforts to drive greater tax efficiencies across our global business. As we look ahead to 2022, we expect our full year effective tax rate to be in the range of 25% to 28%. During the fourth quarter operating cash flow was negative $50 million. That principally relates to the significant sequential increase in fuel and natural gas prices during the fourth quarter. However, for the full year we still generated a healthy $173 million of cash flow from operations. And finally, we repurchased approximately one million shares of our common stock during the fourth quarter demonstrating our continued commitment to drive additional shareholder value. And now I would like to turn the call back over to Mike for his closing comments. 
Michael Kasbar: Thanks, Ira. So in summary, our aviation business continues to recover from the peak of the pandemic with volume and gross profit up significantly in 2021 despite the decline in year-over-year activity in Afghanistan. We continue to support our customers throughout the world with a growing suite of products and service offerings, to assist them in navigating the energy transition, driving growth in 2021 and opening up more opportunities going forward. Despite the double-digit year-over-year increase in volume and a near doubling of average fuel prices, we generated solid operating cash flow for the year, representing our 10th consecutive year with operating cash flow greater than $100 million. The recent completion of the Flyers acquisition significantly expands our North American land fuels business, enhancing opportunities to drive operating efficiencies and accelerate further organic growth. This is a real game changer for our North American land business. And finally, our balance sheet continues to remain strong providing us with ample liquidity to continue pursuing additional strategic investment opportunities in our core businesses and maintaining our dividend and buyback strategies. Thanks for listening. And now I'll turn the call over to our operator to begin the Q&A session. 
Operator: Thank you. We will now begin the question-and-answer session.  And our first question comes from Ken Hoexter from Bank of America.
Ken Hoexter: Hey, great. Good evening. Congrats on solid performance. Ira, just can you clarify the price on the buyback and the shares you bought in the fourth quarter? And then maybe just delve into the working capital you talked about it looks like accounts receivable up $323 million accounts payable at $375 million. So maybe talk a bit about the -- you're obviously extending more credit or is that just solely on rising fuel prices? Maybe talk about the strategy there? 
Ira Birns : On the buyback, we purchased $50 million worth of shares for the year. And in the fourth quarter there was about $26 million of shares. That's what you're looking for there right Ken?
Ken Hoexter: No, not only the number of shares or price. Yes, I got the dollar amount from the cash flow just looking to see what you bought it at and how many shares?
Ira Birns : We'll get you that detail in a few moments. Thanks. And then you want to know about accounts receivable? 
Ken Hoexter: Okay. Yes, just kind of your use of working capital, right? So your AP was up what $50 million more than AR. Just is that it's anymore credit is that just on rising fuel prices? 
Ira Birns : Well, look prices are up and we're also experiencing more volume quarter-over-quarter as the recovery continues especially in aviation. The cool thing not to say that we're always going to repeat this is, our team continues to do a fantastic job managing working capital. Our net trade cycle was only 4.3 days in the fourth quarter. Our total AP, I think, as you pointed out was actually slightly ahead of our accounts receivable, which I don't believe has ever happened before. So we're managing both sides of that coin very well. So our net working capital despite the continued recovery and $30 billion worth of revenue in 2021 was still well under $500 million. So, yes, we're spending more credit. You've got with much of the world recovering more and more every week, every month on the aviation side some of the credit lines there and outstanding receivables are going up and that's why our AR is back up to -- I think we're twice our low point that we hit in 2020 and we were down to $1.2 billion and we're back to $2.4 billion and team continues to do just a fabulous job managing through that, while making sure we're wisely extending credit meaning we're getting the returns that we feel we deserve for every piece of business we execute on.
Ken Hoexter: Lastly for me just, obviously, given the global market right now geopolitics. What is your exposure on aviation or marine to Russia-Ukraine, any kind of exposure?
Ira Birns: First I'm going to go back -- it was 923,000 shares that we bought in the fourth quarter Ken. In terms of Russia, the numbers are relatively small. There's a few million dollars on the aviation side, a few million dollars on the marine side spread amongst a pretty small number of customers in total. So obviously we're monitoring this situation just as you are considering the escalation overnight. And we're being very careful about managing any additional credit from today going forward. And we'll hopefully manage through that very well. Of course there's a lot of factors outside of our control that that will become clearer in days to come related to sanctions, et cetera. So it's a relatively small number but it is several million dollars.
Michael Kasbar: The only color I'll add to that Ken is we're pretty much used to this, I mean sanctions are not something new for us and certainly not new for the world. And so we're used to managing that and understanding how to respond to it. Diversity of the business model as you know is a broad portfolio. So -- and obviously our military activity there is something that we understand quite well. So it's the first time we've been in a situation like this and we know how to respond.
Ken Hoexter: Last one for me. I'm sorry there is one more. Just because Mike you mentioned the $100 million cash flow. And Mike in your opening comments you mentioned organic and inorganic growth. Do you want to take time to digest the Flyers acquisition, or do you think now is a good time to be in the market? Maybe just talk about your thoughts…?
Michael Kasbar: Listen I said it on the last call and I've got to give Ira kudos for this one and the whole land team. And so that one I think was a beauty that's proceeding well, a phenomenal organization, phenomenal team and listen integration you never take that for granted. But the beauty of buying well-run companies is that their pleasure to deal with. And it's performing well. Our expectation is that it will perform well. So we are pretty ready to rock and roll. So US we mentioned it. We've been consistent that it's US certainly a good place to do business. That is for sure within land. And then, of course, our Connect business we very much see the future to have our sustainability infused through everything we do. So we like doing business in the US. We certainly do business around the world but land US leveraging that, getting operating leverage out of the platform, we feel good about that takes a while. It took us a long time to build our global aviation franchise and we're confident that we're on our way finally in land and our Connect business goes from strength to strength really excited about that. And that is -- we're investing. The thing that you have to appreciate is that there's still a good amount of navigation there. There are things that are not necessarily proven. The voluntary market is here. We don't think it's going away. It's had its ups and downs. But we know what we're doing. We've got a phenomenal team of professionals there. So it's Connect and its US land is a priority. Obviously, we have our other core businesses of Marine. We like that business. We've got a global franchise there products and services and certainly our commercial aviation business aviation have a good amount of organic growth, but we're always open for good ideas and the comprehensive solutions, which has basically been our operating model custom tailored solutions for those clients, and selectively penetrating the supply chain. We started in the middle, and we've expanded in both directions. So that will continue. We're agnostic to what the source of energy is, but we've got a third-party business, or physical inventory distribution assets and our digital value proposition for our clients. So nothing's changed there and those are the focuses.
Ira Birns: Ken to answer your question. Yes, we're going to continue to increase.
Ken Hoexter: Thanks, Ira. Thanks, Mike.
Operator: Our next question comes from Ben Nolan from Stifel.
Ben Nolan: Yeah. Thanks, Ira and Mike. So I wanted to go back to something I think, Ira you mentioned that, your aviation volumes are 76% of where they were on a pre-pandemic level, if I heard that correctly. I was just curious as we look at that we're – it seems like things have picked up pretty well in the US. And just without being able to have a good sense of sort of how volumes shake out for you guys on a global basis. Where do you think are the areas that are lagging in terms of being able to get back closer to those pre-pandemic levels with respect to your portfolio?
Ira Birns: Sure. So you hit on the head so the US opened up earlier on. And as we've experienced those at this have been at airports, it seems like aside from the mass the pandemic never happened. So that's been happening for several quarters now arguably in a full year in the US. The rest of the world was lagging pretty severely. But over the past couple of quarters Western Europe started coming back pretty strongly. There were some fits and starts where strong summer things slowed down a little bit and then you picked up again. So we're let's say 70-some-odd percent in the US, we're still at maybe some – we're probably in the 60s in Europe on a comparative basis. And then Asia Pac you think of if you throw Australia into that mix et cetera in that part of the world, that's barely at 50% right? So everything is moving in the right direction, but there's a much longer runway to return in areas outside of the US. But there's still a reasonable runway. That 24% delta being 76% is a couple of billion gallons plus of activity that was there in 2019 that hasn't found it's went back yet.
Ben Nolan: Right. And maybe just another way to address that question is, how should we think about on a pre-pandemic level? Where your aviation volume was like roughly x percent was US x percent with Europe? Just trying to source out sort of where the X factor is...?
Ira Birns: Yeah. In 2019, about 60% of the volume was in North America. Europe was about 15% or so. The rest of it was Latin America or Asia Pac. So, if you look at 2021, the numbers are more heavily tilted towards North America right now just because it's rebounded faster. So hopefully that helps.
Ben Nolan: No, that's exactly what I was looking for. Now, switching gears a little bit. We were kind of thinking that there might be some margin expansion in the marine business in the fourth quarter at least a little bit more than there was with the idea being that ordinarily when you have oil prices swinging around all over the place and higher just in general, it tends to be pretty good for your margins and certainly in the last 1.5 months, two months that if anything that's accelerated. Is there -- are we -- am I wrong in thinking that, or should all of this volatility be helping that business a bit?
Ira Birns: Yes. That's a great question. On a historical basis, as we told you before, there's been a much tighter correlation between price and margin rain than our other businesses because it's principally a spot business and arguably more of a bulk business selling for dollars per unit instead of pennies per unit. So the issue is it doesn't happen overnight. There's historically been a bit of a lag I would say not necessarily that happen every single time either. So, we were starting to see that at the tail end of the quarter, which is why we outperformed our expectation in Q4 to be honest. And I'll use the term I don't want to count my chickens because I have 33 of them at home, but that's still in thus far to the first quarter not meaningfully, but margins are certainly consistent with or maybe slightly higher than where we were in December. So that will play out over time. Of course prices are even higher as we speak today because of last night's events. But there are opportunities there and that's why we were a bit more optimistic in our comments about marine for '22 than we may have been three months ago. But that will play out over time.
Ben Nolan: And I had no idea you were a chicken partner. But the last question for me is it relates to some of the adjustments and I know that they're on the last page of the slide presentation. But the bigger one it seemed like it was in land. Am I right in thinking that that was entirely acquisition-related or... 
Ira Birns: 100% related to the Flyers acquisition. 
Ben Nolan: Perfect. So -- and that closed. So the -- it shouldn't be any residual impact of that. Is that fair?
Ira Birns: There would be nowhere nearly as material. I mean there may be some things that are still going on in the first quarter, but nowhere near $3 million maybe another few hundred thousand dollars in Q1, a few hundred thousand to $1 million in Q1.
Ben Nolan: Right. All right. Well, that does it for all of my questions. I appreciate it. Thanks.
Ira Birns: Okay. Thanks, Ben.
Operator: We have no further questions at this time. Mr. Kasbar, I will now turn the call over to you for closing remarks.
Michael Kasbar: Thanks everybody for listening in. We appreciate the support to all of our team members around the world, to our investors and friends, suppliers and customers who may be on the call. Thank you so much. We enjoy working with all of you and we look forward to catching up with you next quarter. Take care stay safe be well.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating. You may now disconnect.